Operator: Good afternoon, everyone. Welcome to the Jamieson Wellness conference call to discuss the financial results for the fourth quarter and full year 2025. [Operator Instructions] Please be advised that the reproduction of this call in whole or in part is not permitted without written authorization from the company. As a reminder, today's call is being recorded. On the call today from management are Michael Pilato, President and Chief Executive Officer and Christopher Snowden, Chief Financial Officer. Before I turn the call over to Mr. Pilato, please note that a press release covering the company's fourth quarter financial results was issued this afternoon, and a copy of that press release can be found in the Investor Relations section on the company's website. Please note that the prepared remarks, which will follow, contain forward-looking statements, and management may make additional forward-looking statements in response to your questions. These statements do not guarantee future performance, and therefore, undue reliance should not be placed upon them. We refer you to all risk factors contained in Jamieson's press release issued this afternoon and in filings with the Canadian Securities Administrators for a more detailed discussion of the factors that could cause actual results to differ materially from those projections and any forward-looking statements. The company undertakes no obligation to publicly correct or update the forward-looking statements made during the presentation to reflect future events or circumstances, except as it may be required under applicable securities laws. Finally, we would like to remind listeners that the company may refer to certain non-IFRS financial measures during this teleconference. A reconciliation of these non-IFRS financial measures was included with the company's press release issued earlier today. Also, please note that unless otherwise stated, all figures discussed today are in Canadian dollars and are occasionally rounded to the nearest million. I will now turn the call over to Mr. Pilato to get started. Please go ahead, sir.
Michael Pilato: Thank you. Good afternoon, everyone, and thanks for joining the call to discuss our fourth quarter and full year 2025 results. 2025 was another strong year for Jamieson Wellness, marked by consistent execution across our core markets and nearly 16% growth in our branded business. Consolidated revenue grew 12%, supported by meaningful gross margin expansion and stronger double-digit growth in adjusted EBITDA and operating cash flow. That momentum continued through the fourth quarter as well, led by 17% growth in our Jamieson Brands segment. Now let me touch on our key markets. China was a major driver of growth again in 2025, with revenue up more than 56%, outpacing the broader VMS market in the country by 4x. That performance was driven by highly effective performance marketing and strong gains in brand awareness and purchase conversion metrics across all major digital platforms. Over the year, brand awareness to trial conversion rates increased by 57% and trial to regular buyer conversion rates grew by 81%. The key message here is that our investments are paying off, and we're seeing that reflected in our brand health and repeat rate metrics. While digital remains the engine of growth in China, we're also seeing our brand strength carry over in-store, which speaks to the broader platform we're building in that important market. Youtheory delivered double-digit revenue growth on the full year, driven by the success of our new e-commerce go-to-market strategy and strong consumption in traditional channels. We saw solid performance from innovation in high-growth categories like stress and energy support and continued distribution gains across key retailers. Taken together, these factors strengthen the brand's presence and positioning in one of our highest potential markets. In Canada, we continue to outpace the market with revenue up nearly 6% for the year, driven by even stronger consumer consumption behind our quality-focused marketing campaign. Innovation also contributed meaningfully with new on-trend products and formats continuing to resonate with consumers and reinforce our leadership position in our home market. Our international business delivered another strong year with 2025 revenue up 24%, a particularly notable performance across the Middle East, Europe and the Caribbean. Our Canadian quality campaign launched globally, combined with locally relevant innovation continues to drive trial, category growth and deeper consumer engagement with the Jamieson brand. Across all of our key markets, innovation continues to be an important part of our growth. We're focused on need states like immunity, sleep, stress and energy, and we're bringing forward formats and ingredients that reflect where the consumer is going, while leveraging our global platform to scale winning concepts quickly across geographies. That ability to combine global consumer insight with local execution is a meaningful competitive advantage for us. As we look ahead to 2026, we expect another year of strong branded growth, building on the momentum we have created. We see significant runway ahead in China as our consumer base continues to expand. In the U.S., we're focused on accelerating digital and e-commerce growth and continuing to innovate in high-potential categories. In Canada, we'll continue leaning into our quality-led strategy and innovation to reinforce our market leadership. And internationally, we see continued opportunity through distribution gains and locally relevant innovation in our priority markets. Together, these drivers give us confidence in our ability to deliver another year of solid top line and earnings growth in 2026. With that, I'll turn it over to Chris to walk you through the financial details.
Christopher Snowden: Thank you, Mike, and good afternoon, everyone. In the fourth quarter, consolidated revenue increased 13.4% to $277.7 million, driven by strong growth in our Jamieson Brands segment, partially offset by expected declines in strategic partners. Jamieson Brands grew 17.1% to $237.4 million, while strategic partner revenues declined by 4.4%. Within Jamieson Brands, we delivered growth across each of our key markets. In China, revenue was up 43.9%, primarily driven by successful performance marketing, innovation generating growth and brand loyalty across all our major digital platforms. In the U.S., youtheory grew 20.2%, driven by innovation, together with continued strong consumption in e-commerce and growth in our traditional channels. In Canada, revenue increased 5.5%, reflecting strong consumer consumption driven by our quality-focused marketing campaigns and innovation. International revenue increased by 39.2%, reflecting strong consumption and organic growth from all major markets led by the Middle East. In Jamieson Brands, gross profit increased by 19.7% or $18.6 million, and normalized gross margin increased by 90 basis points to 47.6%, reflecting the benefit of branded mix and scale in China. Revenue in Strategic Partners reflected the anticipated decrease of 4.4% or $1.9 million in the quarter impacted by a reduction in business and the timing of onboarding of new customers, contracts related to trade and tariff uncertainties. Strategic Partner gross profit decreased by 2.4% in the quarter, driven by lower volumes. Gross profit margin increased by 30 basis points, mainly driven by customer and product mix. In the quarter, consolidated gross profit increased by $18.5 million to $118.7 million, mainly driven by higher branded revenue and increased margins, partially offset by lower strategic partner revenues. Gross profit margin increased by 180 basis points due to a higher proportion of growth in Jamieson Brands and higher growth in China impacting geographic mix. SG&A expenses increased by 20% or $9.8 million in the quarter. The increase reflects investments in performance marketing, particularly in China, variable compensation and ongoing spend to support our global infrastructure. Specific costs of $2.7 million in the quarter were primarily comprised of legal and professional fees related to due diligence for a potential acquisition that ultimately did not meet our very high standards for investment. Earnings from operations decreased by 0.02%, driven by higher revenues and gross profit, offset by marketing investments and acquisition-related legal and other nonoperating costs. On a normalized basis, earnings from operations were up 13.3% to $60.4 million in the quarter. Normalized operating margin was 21.8%, which was consistent with Q4 2024. Adjusted EBITDA increased by 13.7% or $8.1 million in the quarter, and adjusted EBITDA margin was consistent with the prior year at 24.3%. Net earnings were $37.6 million and adjusted net earnings increased by $3.9 million to $38.5 million. Adjusted diluted earnings per share were $0.90, an increase versus the prior year. Turning to our balance sheet and cash flow. We generated $31.9 million in cash from operations in the fourth quarter compared to $37.8 million last year. Cash from operations before working capital was $12.9 million higher than Q4 2024, reflecting stronger underlying earnings. This was offset by an $18.8 million increase in investment in working capital, driven by preliminary higher inventory levels to support growth and to mitigate risks related to tariffs and port congestion. At year-end, we had $126.6 million in cash and available operating facilities. We continue to return capital to our shareholders in the quarter and over the full year. In the fourth quarter, we purchased 53780 common shares for cancellation under our NCIB program for an aggregate consideration of $18.1 million and an average price of $34.05. For the full year, we purchased almost 1.2 million common shares for a total of $37.9 million at an average share price of $32.39. We paid total dividends of approximately $37.2 million. Today, we have announced a dividend of $0.23 per common share declared on February 26, 2026. totaling $9.5 million in aggregate. The dividend will be paid on March 16 to common shareholders of record on March 6. Turning to our 2026 outlook. At the consolidated level, we expect revenue between $895 million and $935 million, representing 9% to almost 14% growth. With that, we expect Jamieson Brands revenue between $790 million and $820 million or growth of approximately 9% to 13%. By region, we expect China revenue growth of 20% to 30% U.S. revenue growth of 14% to 19% in U.S. dollars, Canada revenue growth of 4% to 6% and international revenue growth of 10% to 15% in U.S. dollars. We also expect Strategic Partner revenues to return to growth in 2026, increasing by 10% to 20%. From a profitability perspective, in 2026, we expect consolidated adjusted EBITDA of $174 million to $181 million, representing growth of 9% to 13.4%, with adjusted EBITDA margins maintained at approximately 19.4%. We also expect adjusted diluted earnings per share of between $2.08 and $2.21, reflecting growth of 12.5% to 19.5%. From a cash perspective, we expect to generate between $120 million and $130 million of cash from operations before working capital, representing growth of 9% to 19%. We expect working capital to increase by $25 million to $35 million, reflecting lower investments in 2025, organizational growth and the impact of tariffs on our supply chain. Capital expenditures are expected to be approximately $20 million to support the maintenance of our operations and drive efficiency, including investments aligned with our sustainability goals. Overall, the fourth quarter capped off a very strong year for Jamieson Wellness. We delivered solid financial performance and continue to invest for growth and exit 2025 with a strong balance sheet and a clear outlook for 2026. With that, I'll turn the call back to Mike.
Michael Pilato: Thanks, Chris. As we step back and look at the full year, what stands out is the strength and resilience of the foundation we've built, bolstered in 2025 by the successful implementation of our new SAP system, supporting our global Canadian headquarters and three manufacturing facilities. Across our markets, consumers are choosing our brands more often, coming back more often and responding to the innovation we're bringing forward with globally consistent, locally relevant products backed by the trust we've built for more than a century. You can see that in the consistency of our execution throughout 2025 and the momentum we carry into 2026. Vitamins, minerals and supplements is not a discretionary category. It's a staple in people's lives. The category was growing before COVID, it grew through COVID, and it continued to grow through one of the most challenging inflationary periods in the generation. There is no category in CPG I would rather be in. And within it, we are well positioned to continue to grow and operate effectively in whatever environment comes our way. Looking ahead, we're focused on scaling what's working, deepening our relationships with consumers, ensuring our distribution reflects where they want to shop, advancing our innovation pipeline across key need states and showing up with the same quality and trust that has always differentiated our brands. We have a clear strategy, strong demand across our core markets and a team that continues to execute with discipline. In 2026, with a guide of over $900 million in revenue, we are taking the next step in pursuing our goal of crossing $1 billion in sales. None of this happens without our people. Their commitment to our purpose of inspiring better lives every day is what drives this business forward. I'm incredibly proud of their work and grateful for the passion and collaboration they bring to our consumers and our company every single day. Thank you for joining us this afternoon and for your continued support of Jamieson Wellness. We'll now open the line for questions.
Operator: [Operator Instructions] Our first question today comes from Stephen MacLeod from BMO Capital Markets.
Stephen MacLeod: Nice to see the very strong growth in Q4, particularly in China. And I know you talked a lot about the performance marketing campaigns and the focus on generating brand loyalty. I'm just curious if you can talk a little bit about how those investments are expected to evolve in 2026.
Michael Pilato: Thanks, Steve. As we talked about a bit, you could see in our results, and as I talked about in the previous comments, we are seeing great conversion increases, starting with brand awareness and all the brand awareness programs that we're running. We see brand awareness scores increasing. We then see trial increasing. Our conversion rates from awareness to trial are up 57%. And then from trial, consumers that are regularly buying or what you would call repeat, we're seeing those conversion rates increase 81%. So we're continuing to see the consumer resonate with our brand. We continue to see them to be more and more interested in our brand, and then try them and convert to be a regular user, which is fantastic. That's the goal. We continue to see top line growth, and we continue to see margin growth in China as for the expectations we laid out in the Investor Day or Market Day back in March of 2025. And we're quite pleased with the scale of the business and where it's taking us across all of our metrics right now. And we just expect more of it in 2026. The team in China is humming on all cylinders. I was there in November and just totally impressed by what they're doing, how they're operating, and just how engaged they are in growing this brand across consumers in China.
Stephen MacLeod: And I think you mentioned in your prepared remarks, just in China, you're seeing the brand growing into the store as well. I guess, as people are seeing the brand online and then that digital growth that digital investment is resonating. So, can you talk a little bit about your in-store experience in China as well?
Michael Pilato: Yes. I mean the one thing about this digitally enabled retail world in China and starting to see it grow in other markets as well is it all works as a halo. It's like what you're seeing online is operating as both a retail channel but also a marketing channel. And you're seeing more and more dollars being spent from traditional marketing and media into digital aperture, especially in a place like China. So, we saw, obviously, e-commerce is our biggest channel in China by quite a lot and the fastest-growing part of the market, and we saw great growth there. But we also saw great consumption growth in retail and club, like strong double-digit POS growth in those channels. So, you're really seeing the halo effect of the brand equity building investment combined with the digital and e-commerce investment, haloing across not only retail, but all e-commerce platforms at the same time with strong growth across the board. It's really nice to see, and it shows that the engine and what we would call the flywheel is working right now, which is great.
Stephen MacLeod: And then maybe just on Canada. I was just wondering if you could give some color around the sort of consumption volumes that you saw versus what you thought the market did in the quarter?
Michael Pilato: We saw the market on the quarter, on the year.
Stephen MacLeod: I was asking about the quarter specifically, but happy to hear both.
Michael Pilato: I mean, they both are in line with the same trend. We saw category consumption in Canada continue to grow at the mid-single-digit range in dollars and in units. And then as a company, we outpaced that by a couple of points. So, I feel really good about consumption and shipments and all lining up to deliver what was a great year in Canada. I know we talk a lot about China, we talk a lot about youth, and they are our top growth vectors. But to deliver a year in Canada again 5.9%, almost 6% that's just an incredible number in a very mature market where we already are a market leader. I'm just as impressed with the work the Canada team does to continue growing that business as I am for what's going on in China. It's been amazing to see that. And again, if you look at our guidance, Canada is expected to grow again somewhere in that range, which is great to see.
Operator: Our next question today comes from Justin Keywood from Stifel.
Justin Keywood: Excellent results. Maybe just to start on the favorable guide. What gives you confidence that the business is going to grow at that rate, including Canada, given the strong 2025 that will be lapped?
Michael Pilato: I think a couple of things, Justin. I think one, we have marketing programs and innovation, all led by some of the strongest consumer insights we've ever had globally, and that then resonates down to all of our markets. I mean, our team is just on it right now and doing a great job in everything that they do. But the reality is the health and wellness category as a whole continues to grow globally. We continue to see optimistic growth projections on categories and all the markets we play in. We continue to see the consumer getting healthier. We continue to see the aging population engage in the category in a deep way, and the younger generation, the Gen Zs, the millennials, and the Gen Zs getting into the category earlier than ever. I mean it's not uncommon nowadays to see 18- to 20-year-olds taking vitamins, minerals, and supplements, and you're seeing that grow and expand. And I just think that global trend is perfectly in line for us to continue to grow and to continue to outpace the market growth based on our 100 years of heritage and knowing what we know and how to grow in this category.
Justin Keywood: And on the Q4, was there any impact from the tough flu season that we were in the mid? Or was it just regular demand patterns, including from the younger generation, as mentioned?
Michael Pilato: No, we definitely saw some immunity growth in Q4. And most notably in December, it really picked up in December. We saw immunity really grow double-digit consumption in the month of December. So, it definitely is impacting the business. The one thing I would say, though, today is if you go back to COVID, we talked about immunity and it being a high percentage of our business, which it was and it still is, but it is much less meaningful part of our business today than it was back then. I mean we've just expanded so much globally. We've expanded into so many categories. While it is a very important category for us and important in Canada, it doesn't have the same materiality in our numbers that it would have had historically, now that we're so much bigger in so many different places now.
Justin Keywood: And then in the opening remarks on M&A, there was mention of a potential acquisition not meeting the stringent criteria of Jamieson. Are you able to refresh us what that criteria is and how the M&A pipeline looks for this year?
Christopher Snowden: Yes, we are looking for a scaled quality brand. We're focused primarily on the U.S. today as an ability to increase the breadth of our participation with the U.S. consumer in that market. So, we're looking for digital expertise. We're looking for multichannel and multi-segment.
Justin Keywood: My question was by scaled provider. Would that be a similar size to youtheory or potentially larger?
Christopher Snowden: I think minimum $100 million is what we're looking for. Certainly, if they had expertise in digital, we would consider smaller. But ideally, we would be looking for a little larger than $100 million.
Operator: Our next question comes from Nathan Po, National Bank Capital Markets.
Nathan Po: So, your 2026 EBITDA margin commentary implies a stronger mix shift into fast-growing geographies, which don't have quite a mature margin profile yet. How does that tie into your commentary from last quarter on higher ROI on marketing spend? And can you also frame that with respect to current growth expectations?
Christopher Snowden: So, as we continue to reinvest and invest in China, we've been realizing a higher return on that brand awareness on that conversion, as Mike said. So, we are actually ahead of our margin expectations in China as a specific geography, and you compare that to what we talked about in our March Investor Day presentation. The point offset is the fact that China is growing much faster. So even though you're ahead on a discrete margin profile perspective, them being a larger part of the overall pie is what allowed us to continue just to match the margin profile on an annual basis in '25 versus '24. When we look forward to '26, we see margin growth in all segments of the business. Now it's the mix that then again, affects that margin. So with additional growth in Strategic partners, accelerated growth in China, that means we're going to be roughly flat in EBITDA margin year-over-year.
Nathan Po: And can you give us an idea of seasonality this year with respect to promotional windows and pipe fill timing?
Christopher Snowden: Yes. Seasonality doesn't change too much year-to-year. In each of our geographies, we have specific key promotional periods. In Canada, you'd be really focused around Q3, back-to-school, back to routine New Year, New You. Within the U.S., it would be back to beach that July, June, July time frame, focused volume in Q2 and then again in Q4 with, again, the New Year, New You. Whereas in China, you've got the two big promotional windows with 6/18 and 11/11. Those are going to be consistent year-on-year, and we don't see a big seasonal shift between our growth patterns between '25 and '26.
Nathan Po: And just further on that, the commentary over the last 2 years on innovation, specifically in youtheory being front half weighted and back half weighted. Could you give us some more color on that?
Michael Pilato: Yes. Youtheory has a great year planned on innovation. I do think you will see a bit more balance this year and their innovation throughout the year. We've got multiple products planned to launch. They're launching throughout the year. We did have a big launch in late Q3, early Q4 in 2025. So we will be lapping that in 2026, but I would expect a more evenly planned out innovation cycle, nothing that should have a material impact like that one last year did.
Operator: [Operator Instructions] Our next question comes from Ryan Neal, TD Securities.
Ryan Neal: This is Ryan sending in for Derek. Canada is a mature market for you guys, but you're still evidently squeezing out that consistent mid-single-digit growth. Just wondering if you could quickly talk about some of the categories where you're taking share as well as maybe some of the other categories you feel perhaps you're under-indexed in or growth is going to be higher moving forward?
Michael Pilato: Yes. I mean we continue to see great growth around things like sleep, energy, and stress. And of course, talking about the flu season of the past year in immunity. So we continue to innovate and focus on where the trends are in the marketplace, and that's where we'll continue to focus. So I would say those trends are playing out globally. We're seeing growth and share growth across most of our markets under those subcategories, and it continues to be the case here in Canada. I'm sure you saw a lot of our advertising and innovation advertising and marketing campaign through Q3 and Q4 around our new magnesium product. That, for example, is doing very, very well for us and driving leadership in a category that is on fire, quite frankly, globally.
Operator: Our next question comes from Ryland Conrad, RBC Capital Markets.
Ryland Conrad: Just on youtheory, I think it's been a year or so since you've launched the GLP-1 companions. So could you just provide an update on that? And then more broadly, I mean, we've seen several developments in recent months around improving accessibility to GLP-1s, whether that be oral formats or just lower prices. So how are you thinking about the impact of GLP adoption just on BMS as a whole?
Michael Pilato: Yes. I think we've talked about this over the past couple of years. I think GLP plays well into our business on two fronts. One is the products we launched to deal with some of the side effects, and I can talk about that in a minute. But the larger, more exciting part for a business like ours is the long-term effect of GLP on global consumers and the fact that you have millions of global consumers that are step changing their health and step changing their health for the long term. We know when consumers step change their health, they will engage in our category for the first time, then they will add a second product. They'll continue to grow into the category. So I really do think that GLP-1 and this notion of consumers globally trying to get healthier and tapping into a consumer segment that hasn't typically been engaged in our category is really good for us long term. It might be a bit of a slower build, and it will take some time, but we truly believe that's a tailwind for our category for the long run. When it comes to the specific products we launched, we launched them last year, early last year, we said we did not have a lot in our guide. It was a slow rollout. We were testing it. We were seeing where the right place was for it. I would say that it's still early days. I mean it's a completely new segment. We have had some encouraging results, like, for example, on the multivitamin product online. We're starting to see some nice trends there. We're just starting to really figure out with retailers, how do they tackle GLP-1 from a support product perspective and where is this category going to go. So I would say it's where we expect it to be at this time. We expected it to remain modest through the year, but growing, and we continue to expect the same thing in 2026 as we continue to see where the GLP-1 trends go.
Ryland Conrad: And then just on China and the medium-term margin trajectory there. I guess, could you maybe help us size that up? Like will that be gradual expansion as the business scales? Or are there any kind of step changes over that period?
Christopher Snowden: So if you go back to our March investor presentation, we said there was about an 800 basis point margin evolution over the next 3 to 5 years starting from 2024 as a base. We're well on track. That is really focused on levering the infrastructure that we've built out there. We've got, I think, more than 60 people in our Shanghai office now, and that team is really set up to deliver a significant amount of revenue. So that will scale evenly. It will be a slow build over the next 3 to 4 years.
Ryland Conrad: And then just still on China, I guess, given your success there to date, are there any plans to take your learnings there and just expand the Jamieson brand into other countries across APAC?
Michael Pilato: Yes, for sure. I mean we have an ongoing project going in Asia, trying to figure out what is the next big market for us in Asia. We do have some business in other markets in Asia. We have for some time. But we do have a small group of people in our international team really trying to figure out where do we want to invest in Asia outside of China for the longer term. So that work is going on. Nothing major built into our guidance for 2026. But as we start to expand and grow there, we will definitely make sure the market knows about it.
Operator: Ladies and gentlemen, there are no further questions at this time, and this concludes today's conference call. Thank you for your participation. You may now disconnect.